Matthijs Storm: Good morning, and welcome to the Wereldhave webcast for the full year 2025 results. I'm here today with our CFO, Dennis de Vreede; and I'm Matthijs Storm, the CEO of Wereldhave. We'll take you through a presentation, which you can also find on our website. Already during the presentation you can type your questions in the textbox at the bottom of your screen. Towards the end of the presentation, we will deal with all your questions as usual. So let's get started. Let's start with some key messages of the 2025 results. Direct result per share, EUR 1.86, which is well above the initial guidance that we provided about 1 year ago and also above the latest guidance with Q3 of EUR 1.80 to EUR 1.85. Zooming in on the results, and we'll give you some more color later, of course, during the presentation, but we see improving occupier markets. Costs have been relatively stable, which I think is also a good achievement of the company with a growing portfolio. And last but not least, we also see growth in what we call other income. We'll get back to that later. Occupancy rate at 98%, we had to dive into quite some older annual reports to find a number like this. That was in 2013. That was actually before the big wave of a lot of bankruptcies in retailer chains in the Netherlands and in Belgium and I think also in other European countries. So it's nice to see that we're back at this high level. Like-for-like rental growth, plus 6%. Improving Dutch retail market is helping a lot with that, but also the other income I just mentioned. We'll zoom in on the breakdown of this later. We sold the Dutch Full Service Center Sterrenburg at EUR 60 million book value in December 2025, which I think is an interesting achievement because this is the first full service center we are selling with some compelling KPIs. Dennis will talk about that later. Stable cost base, I've mentioned. Total shareholder return last year of plus 51%. The dividend per share, we proposed EUR 1.30 for 2025, that will be decided on the AGM of May 2026. It's an increase of 4%. With that, we remain quite conservative. It's a payout of 70%, a little bit below the targeted payout range. But as long as our loan-to-value is above 40%, Dennis will talk more about that later, we think we should remain conservative. Outlook for 2026, EUR 1.85 to EUR 1.95. Zooming in on some of the key numbers of 2025. The direct result, I've already mentioned. The indirect result, unlike last year, was slightly negative. We'll zoom in on that later. We saw slightly negative valuations in the Netherlands and in Belgium. It's more asset specific. We'll talk more about it later. On the LTV side, you see a slight increase over the last year from 41.8% to 42.5%. Again, I want to stress, it is our priority to reduce this below 40%. The French disposals, equity-funded acquisitions, but also JVing existing Dutch assets, for example, will all help to reduce the LTV ultimately below 40%. We're now at 16.4% mixed use, so we also made nice progression on that side. The like-for-like rental growth, I'll zoom in on the callout box on the top right of your screen, 6.3%, driven first and foremost, by indexation, logical, other income. Thirdly, a reduction of property expenses, which was a key priority already in '24, but also in '25, which is yielding some very nice results, amongst others, recouping some older bad debt, I think a very nice performance of our finance team. Leasing, plus 0.6%, combination of positive leasing spreads, slightly positive leasing spreads of about 3%, but also some sales-based rent. Occupancy, a small increase with 20 basis points, contributing to the like-for-like. Then zooming in on what we call other income, which is becoming a more and more important revenue driver. When we talk about other income, we're not talking about rental income from the shops we are renting out or from the parking. For us, it's important to mention that in the definition, parking income is not other income, it's real estate. So it's real estate income, it's rental income. We talk about ESG income, for example, solar panels, EV chargers on the parkings. As you know, we own -- in most of the cases, we own the parkings, either underground, but in Belgium, for example, mostly outside. And those are interesting opportunities. Think about Ville2, we bought in Charleroi with about 2,500 parking spaces, all outside ground floor level, very interesting opportunity to roll out EV chargers. Marketing and media, digital screens, we signed an important deal in September last year with Ocean Outdoor for the Netherlands, boosting our direct result per share by at least 3% per annum. We'll be working on Belgium and Luxembourg this year. We signed our first joint venture with Sofidy for Stadshart Zoetermeer in June 2025. The management income from that JV is included in the other income. Of course, we also have a profit share in the entity where we are investing in Zoetermeer. But here, we're talking about the management fees. Self-services, for example, vending machines in our centers, and lastly, specialty leasing, I think that is a well-known concept, but that is also increasing. So let's talk about some numbers. In 2025, we had EUR 6.7 million other income and we think we can increase to EUR 10.1 million in 2027. Of course, this number does not yet include additional joint ventures. If we're able to sign and we're working on several projects -- in the Netherlands, if we're able to sign more joint ventures, of course, the figure will increase. Then we focus on the results itself. Operations, we're very happy with the results, particularly with the Netherlands, finally, a positive leasing spread. You'll see more about that later. If I focus on the core portfolio, Netherlands, Belgium and Luxembourg, you can see an MGR Uplift of 2.7%, which I think is compelling. but also the occupancy rate of 98%, as mentioned before. France is still a negative figure, but less negative at least than last year. And we also think that our NRI from France will be relatively stable to slightly up in 2026 despite, as you probably know, the very low inflation and indexation forecasted for '26 for France. The LifeCentral strategy, we already have about 4, 5 years of track record. So we thought it would be nice to show you some aggregated results. Footfall, full service centers, nicely above traditional shopping centers, also tenant sales, but also the total property return. Our key indicators, I think many of you know this, but I think the charts speak for themselves. Then we also published a table with some detailed result. I'm not going to mention it all. As you might know, in the first half of '25, we had about an EUR 8 million write-down on our Tilburg asset because we extended some leases. We chose for longer lease maturities that had some impact, of course, on the valuation results of the full service centers. But other than that, if you focus on the bottom of the slide, you can see some nice outperformance. Dutch leasing market, I mentioned it already. We see it improving. 2013, '14, '15, '16, a lot of bankruptcies, as we've mentioned previously. Then came the COVID period, which was also tough, of course. But now we see an improving market. What you can see here on the chart is, first of all, the leasing spread, new rent versus old rent, has been negative for a lot of years, that has now turned positive to plus 4%. And also the occupancy rate of the portfolio at 97.4% is actually at the highest since 2013, which is not even on this chart. We see an improving market. I'd also like to mention, for example, the vacancy of Blokker and Casa, the reletting of the units that took place in the first half of '25 [ rent ] pretty quick and occurred in total at a slightly higher rent than the previous rent. We could choose amongst several concepts, and that was a while ago. So we're quite positive and constructive on that. The footfall, I think you can see here in all the 3 charts that in the Netherlands, Belgium, Luxembourg, our core markets, we're nicely outperforming the market. Tenant sales plus 2%, a little bit slower growth than last year, particularly in Belgium. You can see, for example, in the Shoes segment in both countries actually, but in Belgium, that is a bigger segment in our portfolio, that dragged down the sales growth a bit. What's also impacted is the bankruptcy of Lunch Garden, the larger F&B concept, in 2024. Some of those units were vacant in '25. So that, of course, impacts the like-for-like sales growth in Belgium. In the Netherlands, plus 3% is above inflation indexation, which I think is a good result, except for multimedia and electronics, minus 5%. We had a tougher year, although the COVID years and the post-COVID years were a little bit stronger in this segment. Daily life, as you know, we use this as a gauge for the resilience of our revenue stream. We now have 65% daily life exposure, convenience, retail, nondiscretionary. It's a little bit lower than last year, and this is all because of -- and you can see that in the callout -- because of the acquisitions in Luxembourg, but also Ville2 in Charleroi. Of course, these shopping centers will also be turned in full service centers. And once that is completed, the daily life exposure will go up again. Then on the commercial update, first of all, Belgium, we signed about EUR 11 million of MGR, 8% above ERV and slightly above old rent. It's a little bit lower than the last couple of years. That is also because we did a lot of leases in Genk, which is in the north of Belgium in Flanders. It is a more difficult location, a city with higher unemployment and tougher economics and demographics. There was a lot of leasing activity in that city in '25, that's why the leasing spread was a bit lower. I think for '26, we expect a higher figure than plus 2% for leasing versus old rent. Luxembourg, it's only the start, of course, because these assets were acquired in 2025, but we've leased some units at 8% above ERV. We've extended, for example, Medi-Market, which is a very strong parapharmaceutical concept in Belgium that we've actually also now brought to the Netherlands. Medi-Market signed their first lease in Zoetermeer in our assets that we jointly own with Sofidy. In the Netherlands, very important lease signed in Tilburg with TK Maxx for 2,000 square meters. This was after the first half results, so that had a small positive impact again. It's a very strong anchor and I think also a very suitable tenant for a city like Tilburg, which already had some positive impact on the footfall on that part of the city. International leasing, I already mentioned the example of Medi-Market coming from Belgium to the Netherlands, but we also have some other examples, for example, Bestseller Group, which is becoming one of the largest tenants in our portfolio with brands like ONLY, ONLY & SONS, Jack & Jones, Vero Moda, that we have in all countries and is expanding rapidly and is showing very good turnovers in our portfolio. Before I hand over to Dennis, lastly, on the occupancy cost ratio. In the Netherlands, relatively stable. That is logical because the sales growth was in line with the rental growth. In Belgium, we see a slight increase. We had about 1% retail sales growth, but we also noticed in Belgium a small uptick in the service cost. And as a result, the OCR is up from 14% to 15%. I still believe that is a very sustainable level. OUR sales productivity per square meter in Belgium is higher. So this is a level we should maintain. And as I commented earlier already, we forecast for '26 a more positive leasing spread in Belgium than in '25. With that, I'd like to hand over to Dennis.
A. de Vreede: Thank you, Matthijs, and also a warm welcome from my side. My first slide is showing our cost reduction efforts over the past 6, 7 years. As you can see here, we've been reducing and stabilizing our direct Genex. And at the very same time, we've also been focusing very much on our other cost buckets. And that results in a 20.6% EPRA cost ratio in 2025 and I think we have a stable cost basis, meaning that if we grow the portfolio further, if we grow our top line further, I would expect our EPRA cost ratio to go even below the 20% mark. On the direct result side, Matthijs mentioned already the EUR 1.86 per share, which is equating into EUR 101 million of direct results, a 10% growth, a nice growth. I think, if I would exclude the acquisitions and disposal effects of 2025, it would come down to close to 3% growth. But if I would also mention, and you can see that on the very right-hand side of the chart, the tax bucket, the -- this is the first year that we have been paying corporate income tax in the Netherlands, almost EUR 4.5 million. That would equate into another EUR 0.09 to EUR 0.10 direct results per share. So all in all, I think a very stable and a very solid year this year on our direct result side. Here again, a little bit of a color over the past few years. On the left-hand side, we are looking to grow the direct result per share to EUR 1.85 to EUR 1.95 in 2026. That is -- again, that is another 3% to 4% growth, if I would take the EUR 1.90 as the midrange of that. For 2025, Matthijs just mentioned, we will be proposing EUR 1.30 per share for dividends, and we would see that going into EUR 1.35 for 2026 as a forecast, as a guidance for our dividends. Moving on to the relative performance, I would say, we announced our LifeCentral strategy back in 2020, to be exact, almost 6 years ago. And as you can see here, we have achieved -- on the very right-hand side, we've achieved an 80%, 81% total return over those 6 years. So again, I think a very nice achievement if I compare ourselves to the 6 other peers, which are closest to us. We are #1, #2, as you can see on this chart. Also for this year, for 2026, I think year-to-date, we are already at a 16% return as per now. Moving into a few of the transactions which we haven't mentioned already in the first half or the third quarter of the year. I think the 2 most important ones in Q4 are the disposal of our full service center Sterrenburg in Dordrecht, a very important one for us. I think this was one of our nicest assets and one asset where we have been, I think, demonstrating that the full service center strategy really works. All in all, we have been realizing almost 10%, 9.3% IRR on the transformation and the disposal of this asset. At a 6% net initial yield, we have been able to sell this asset. And I think it also demonstrates the fact that the full service center strategy is working. I mean the values are real, as you can see here, proving by this first transaction of a full service center. Moving on to one of our latest acquisitions as part of our capital rotation strategy, we have acquired the Ville2 shopping center in Charleroi in Belgium. We are very happy with this asset. Again here, we have been able to raise quite some equity in Belgium to partly finance this transaction. And we believe this asset will be a very good contribution to the Belgium team and to, of course, to Ville2 as a group. Net rental income, almost EUR 10 million. We bought it at a net initial yield of 8%. So I think there's quite some work we can do there to further enhance the value of this asset. Demonstrated on this slide, we will be pushing Ville2 into the full service center to the LifeCentral strategy. We've been already scanning through the asset, what can we do, what can we add to enhance the value. And on the right-hand side, you see all the different buckets that we're looking at to make sure that we are increasing the value of this property. Moving back to Matthijs.
Matthijs Storm: Yes. Thank you, Dennis. On the LifeCentral strategy, and Dennis already gave some examples for Ville2 in Charleroi. As you can see the bottom right of this chart, our mixed-use percentage is continuing to increase 15% to 16% this year, and we forecast another increase to 17% for 2026. And with that, I think it's also good to talk about the completions for 2025. Nivelles in Belgium, we've mentioned this earlier in October when we celebrated the opening of the redevelopment of Nivelles. It was fully let, first and foremost, I think the most important metric, but also some nice new concepts, for example, in F&B. In Arnhem in the Netherlands, we've completed the first phase of the transformation, Phase 1, also fully let with a new Jumbo supermarket. I'm looking at the pictures, but difficult to see here, but we have some on the website. It's another strong anchor to this center, but also the Eat & Meet Square that you can see on the top left of the pictures, is working very well with some interesting turnovers from the first month of operations. So we're happy with the first phase, and we're now working actually on the plans for Phase 2 of Kronenburg. 2026 will be a year of study and desktop work. And then I think in 2027, we can commence the works on Phase 2 of this center. A launch for transformation is Cityplaza. We already did some smaller things in this shopping center over the past years. On the top right-hand side, you can see several elements. We're adding a health and fit zone. The operator, a larger health care operator, Roerdomp has already signed the lease. That's done and dusted, and at the moment, we're doing the works. We already included a new gym with Basic-Fit on the right-hand side. In the middle, you can see the new Eat & Meet Square for which several tenants have already signed up. We communicated on that already, a fresh street every.deli on the left-hand side and also a little bit of rightsizing. We sold some units to a residential developer who will build housing on that part, which is, I think, beneficial for both because, again, the LifeCentral strategy is not only about turning retail into mixed-use. Sometimes it's also about rightsizing the retail. In Luxembourg, we have started to work on the transformation of Knauf Schmiede. That's one of the 2 centers we bought back in February 2025. Also here, there will be some rightsizing. We're adding mixed-use, for example, a fitness on the first floor. We're improving the visitor flows through a new layout of the center. And then we're adding several life central elements. You can see some examples like the point, our service desk on the top right-hand side, but you can also read some other examples that we will be adding in 2026 to turn Knauf Schmiede into a full service center. Polderplein, that's an asset we acquired in Hoofddorp back in 2023. It was the missing part of the shopping center Vier in Hoofddorp, that we added back then. Now we own the complete shopping center for 100%, and we've now started the works to also turn the acquired part into a full service center. You can see some examples on the bottom left-hand side of the slide. Hoofddorp is one of our best locations in the Netherlands from an economic and demographic point of view. So we're happy with the results so far. Stadshart Zoetermeer, we acquired in June '25. We already communicated on that. And also Stadshart Zoetermeer will be turned into a full service center. Even though this asset is in a joint venture, we are the manager of that asset. And also this asset, you can see it in the map on the top right-hand side of this sheet, will be turned over the coming years into a full service center with, amongst others, addition of health, a fresh cluster and self-expression. Then some numbers on Knauf Pommerloch and Schmiede. We bought those in the beginning of 2025. For example, in Pommerloch, we signed a new lease with Jack & Jones in the former Casa unit. When we acquired this center, we already talked with analysts and investors about reversionary potential. Well, you can see here plus 54% versus old rent. I'm not sure if this is indicated for all the leases we will be doing in Pommerloch, but I think it's a nice example. In Sweden, we've extended with Medi-Market and Veritas. And last but not least, we realized a very nice valuation uplift in '25. Dennis will tell you more later. Then on the CapEx, we changed this slide a little bit. Until now, we always showed you the initial, about EUR 300 million CapEx program for the LifeCentral strategy, as Dennis said, starting in 2020. But most of those transformations, the original ones have been completed. What you can see in the dark blue bar on the left-hand side, the EUR 25 million, that is the last part of the original EUR 300 million program, but we've added about EUR 36 million for the acquired assets in the meantime, that is Polderplein, that's the 2 centers in Luxembourg, and that is also Ville2 in Charleroi. And this is why the number has gone up a bit to EUR 61 million. But you can see over the coming years, it's nicely spread and most of it is still uncommitted. So if something -- if a big event happens in the global market or in the global economy, we're well prepared to scale down the CapEx. Capital allocation. Our IRR framework, which we base on the Green Street unlevered European retail IRR, which now stands at 7.1%. We still set the bar at 8%, almost 100 basis points above that threshold. What you can see is that most of our assets, also the acquired assets, of course, tick the box. We have one asset on hold. One asset is at the moment in the sell bucket that is in Genk because it's not reaching the required IRR. So we're working hard on that. The yield shift, as you can see, most of the assets, most of the completed full service centers have outperformed the market in terms of yield development. And then lastly, on residential profits, yes, this is, as we've mentioned earlier, it's the icing on the cake, a little bit of icing on the cake. Last year, we realized a payment of EUR 3 million for the building rights in Tilburg, as you can see on the right-hand side. So that is a nice achievement. In the coming years, we expect the payments for Nivelles, which is a larger one of about EUR 7 million to EUR 8 million, which will be coming. And also, of course, Kronenburg, which is our biggest project, I just mentioned, Phase 1. With that, I'd like to hand over back to Dennis.
A. de Vreede: Thank you, Matthijs. Valuations to start with. As you can see here, a positive valuation result for the full year for our core portfolio of about EUR 11 million, mostly driven by Luxembourg in this case. as Matthijs already mentioned before. I think we mentioned already where the negative -- the slightly negative numbers came from the Netherlands, that was already mentioned in our first half year deal where we did this Tilburg deal. We secured a nice 10-year lease extension, but we were faced with an EUR 8 million write-off on that specific asset. In Belgium, again, there also almost stable. The negative valuation is mostly part of one single asset. Matthijs mentioned that already, Genk, which is a more difficult asset and which we are holding now in the sell bucket basically, as demonstrated on the slide before. All in all, stable yields, EPRA net initial yields in the Netherlands, slightly up in Belgium. But all in all, we look back at a nice year. The net LTV and the net LTV target, I'm not going to spend much time on this. I think we mentioned this already. We want to push this down still to the 35% to 40% mark. We have plans to do so in '26 and '27, very concrete plans. You could see on the right-hand bottom side, what steps we will be taking to get it down to the -- below the 40%. And as we are working our way through that, we will be cautious on the dividend side. So a slight increase next year for the dividend, as mentioned, but below our 75% dividend policy. Our debt profile was a busy year on the debt side for 2025. You could see that our net -- our interest-bearing debt increased, obviously, following the acquisitions we had in Luxembourg and in Charleroi, mostly. The average cost of debt slightly up really because we have been looking to acquire quite some new long-term debt, which was used PP, but also our first -- we mentioned that before, our first European PP in the Netherlands and at the very end of the year, also a European PP in Belgium. So I think we're happy with that to extend the maturities of our debt. You can see that on the bottom. It went up from 3.4 to 3.7 years. And as we are working our way towards refinancing our big corporate RCF, EUR 250 million RCF, which I am expecting to finalize this quarter, we will be moving up that 3.4 average maturity -- 3.7, I should say, average maturities up well above the 4 years. A nice debt mix, as you can see at the right-hand side for 2025. So again, mostly 49%, driven by the USPP, but you could also see that EUPP starts to get hold in our debt book. The rest is mostly bank loans. One bond, which is a Belgium bond, is the -- that is the 3%. We are on our way to refinance that. That is maturing in the second quarter of 2026, but we're almost there to have that also refinanced. This gives you a little bit of a view over the past 7 -- 6, 7 years of the maturities. That's the average debt maturity. We started off around 4 years. That went down to about 3.3 years, 2 years ago. We're back at 3.7. And if we are pushing the RCF, EUR 250 million RCF over the finishing line this quarter, we should be well over 4 years. And I think that is an important metric also for our credit agency, which is requesting us basically to focus on that and push that more towards the 5 years. On the ESG side, also a busy year. I've been putting a number of our projects here on this slide. I'm not going to read them all out to you, but focus points for us have been to keep increasing the solar panels. We also included last year the first -- or we signed the first leasing deal on our solar panels, which was with Jumbo. EV charging points, certainly in Belgium, we are rolling out at a very fast pace. You see the numbers right there. But also we are trying to make sure we copy the efforts in Belgium, in the Netherlands and enhance our other income with that. Green leases, which is part also of the interest of our RCF. So basically, we get a bonus and malus on our RCF with some green KPIs. This is one of them. We've been pushing that towards the 79%, which is also demonstrating the willingness of our tenants to help us on that part, and we keep focusing on that for the next number of years. So all in all, if you look at a number of projects on the bottom side, Paris-proof projects, we've been insulating and renewing new roofs in Cityplaza and Kronenburg. And again, also on Presikhaaf, our full service center in Arnhem, we are replacing the roof right here, a glass roof, and that should be expected to reduce the lease -- the heat loss by 54%. Moving on, I would say, to the final part of this presentation, I hand it over to Matthijs.
Matthijs Storm: Thank you, Dennis. Let's go to the management agenda, and then we can go to the Q&A. I already see some questions coming in. Thank you for that. Creating scale, I think we did quite some work last year, but we have a lot of interesting projects in the pipeline. Of course, I cannot be concrete at the moment, but -- as I said also during the last road shows, there's quite some product on the market in the Netherlands and in Belgium that is interesting for us. Again, in Belgium, we would acquire full equity. In the Netherlands, it would be through a joint venture, like we did in Zoetermeer. Total return, slightly below the target last year, also driven by slightly negative valuations. I also see some questions about this. I think Dennis already commented on Genk and Tilburg specifically, but there are also some indirect expenses like deferred taxes. We'll get back to that. Capital reallocation, speaks for itself, finalizing the last transformations. But of course, we've started new ones like Schmiede. We have completion scheduled for 2026. ESG, Dennis focused on it already, phase out France, we're targeting to sell, of course, the last 2 French assets. We see some slight improvement in the French transaction market. There have been some deals. So hopefully, that is helping the momentum to finally dispose these. Last phase of the balance sheet derisking, LTV below 42.5%. Dennis already mentioned the 4 different streams that we are working on in order to get there. And lastly, other income, as I mentioned earlier, we now have EUR 6.7 million other income and the target is to grow that to EUR 10.1 million in 2027. With that, we go to the questions.
Matthijs Storm: And I think Dennis, first question you could answer is a question from Steven Baumann from ABN AMRO ODDO. He is asking what are the key components of the indirect general cost for 2025?
A. de Vreede: Yes. Okay, Steven, thank you for asking. Obviously, well, you could see the components are typically the same. These are the valuations. Obviously, we have the indirect Genex. The indirect Genex is the one-off Genex hits that we're taking slightly above last year. We've been spending quite a bit on acquisitions and the disposals, which we have been writing off on some of the projects which did not go through. But also this year, we have seen a big number, which is the indirect tax, which is part of the indirect expenses, obviously, and that is mostly driven by the value increases in Luxembourg. You've seen a EUR 22 million value increase there. But also on the Dutch side, on some of the assets, we've seen a value increase, and we have been taking the deferred tax liability on that value increase. So -- those are the elements driving the indirect expenses.
Matthijs Storm: Okay. Second question from Steven is the key components of the other income in '25, this EUR 6.7 million, Steven, in '25 is mostly for the moment coming out of the Belgian market, where this has already been a larger figure for years, mostly driven by specialty leasing, a lot of the kiosks and pop-up stores, but also in Belgium coming from the point, our service desk, where we take and deliver parcels from several operators, but also sell several items. It's coming from ESG income in Belgium. So that country is the largest contributor, but the Netherlands is growing rapidly, as you noticed on the slide. The Ocean Outdoor deal will start this year 2026. So that's not yet a contributor to '25. And of course, the management income from the joint venture with Sofidy, which is counting for about half a year in '25 because we commenced in June '25. And of course, we'll have a full year contribution in '26. Steven is also asking what you can expect from these items in '26. I think the growth, Steven, is coming from a full year contribution of the Sofidy deal, the Ocean Outdoor deal on the digital screens, but also several smaller initiatives like the specialty leasing and the kiosks in the Netherlands, additional the point desks, but also additional solar panel and EV charging projects. That's all contributing to the income in '26. Steven is also asking if we assume acquisitions or disposals within that number? Answer is no, Steven, because we're -- the disposals we are working on is in assets, for example, the Belgian offices or the French assets where there is no other income. So that will not have an impact. And we're not assuming new acquisitions. Of course, if we acquire new assets, the figure could go up. Then Steven is also asking about the full year 2026 outlook, the EUR 1.85 to EUR 1.95, what are our key assumptions behind this? Like-for-like rental growth, indexation, well, to go into this, Steven, we assume indexation of about 1.75% for 2026, which I think is quite conservative. Property expenses will be relatively stable and the occupancy rate, we also believe will be relatively stable. The last question from Steven is about the average cost of debt. So maybe Dennis can give some views on that.
A. de Vreede: Yes. Yes. Steven, average cost of debt is 3.62% at the end of '25, as mentioned before. I think a few large things will be happening in '26, as I was just mentioning, that is the refinancing of our corporate RCF, the EUR 250 million corporate RCF. And I can -- I would expect, let me put it like this, that we will be looking at a lower margin -- a substantial lower margin than we were paying before. So that will be driving our cost of debt -- average cost of debt down a little bit. On the other hand, we are still looking to refinance some USPP maturities this year, which is, I think, about EUR 40 million this year. And in Belgium, we are also looking to include or increase the long-term financing a little bit. So that will be driving up the cost of debt a little bit. So all in all, I would expect it to be stable for '26, maybe slightly lower depending on how much we draw from the RCF.
Matthijs Storm: Maybe important for you as well, Steven, the refinancing -- the expected refinancing of the bonds in Belgium and the U.S. is more expensive. That is included in the outlook. But the potential reduction in the cost of debt coming from the new RCF is not yet in the EUR 1.85 to EUR 1.95. So that would be driving some additional growth if that were to be signed. Lastly, your expectation about like-for-like rental growth, I think we should still be in the 5% range. The components behind it, I've already mentioned, but with the growth in other income, we should certainly achieve a number in that territory. Then we go to Francesca Ferragina from ING. Guidance, what are the hypothesis about like-for-like in cost of debt for '26? I think we've answered that. Can we expect more partners and more JVs for '26? Yes, that is our expectation, Francesca. We certainly want to do at least one more joint venture like Zoetermeer in the Netherlands this year, potentially also JV-ing one or 2 of our existing Dutch assets, but continuing to manage it. Of course, nothing of that is included in our guidance. Are you open to new joint venture partners? Certainly. Can you make a comment about the asset valuations in H2? Yes, I think Dennis already mentioned that with Genk Stadsplein and Tilburg, we had some write-downs, also in the Belgian offices in [ Ville2 ], our more difficult office location outside Brussels. If you would take those out, the valuations would be relatively flat. Of course, they have an impact, but it is more asset specific. I think also it's logical that valuators increase the ERVs, but also the yields have gone up slightly. You can see that in an increased EPRA net initial yield. We've been buying Ville2 at 8%. We've been buying Zoetermeer at almost 10%. Then of course, the valuators move out their yields a little bit. So that's Belgium and Netherlands. You talked about little competition among buyers in the Benelux regions. I see there's more in this. What type of assets do you see on the market? Yes, we mostly focus on the larger shopping centers. So I think the criteria for us is at least 20,000, 25,000 square meters in terms of size in order to establish a full service center concept. We have more criteria that you can find in the materials online. Of course, there should be the potential to transform into a full service center. Again, there are several assets on the market in Belgium and the Netherlands that we think are interesting. We're working on that. A lot of activity at the moment. So we'll talk more about that later for sure. Do you notice any difference versus 12 months ago in the transaction market? No, I think it's still a buyer's market. Could you provide an update on the French assets? I think we did that. We're working on the disposals, but nothing concrete to mention as we speak. Do you expect more write-offs? No, not for now. Of course, if we did expect some write-offs, we would have taken them in the full year 2025 results. I think going forward for this year, we expect a continuous improvement in the ERVs. We keep leasing well above ERV. I don't have any assumption about the yields, to be honest, so let's see. In the past, you talked about entering new countries. That is true, Francesca. I think in the long-term, that will happen eventually. But again, there's so much interesting product on the market in our core markets, there's no need to do that this year. Do you expect other disposals? I think Dennis already mentioned the type of disposals we are working on. So for example, the Belgian offices, some equity out of Dutch assets through JVs and the French disposals. Right. Then I need to go back. Yes, there we go. Then we go to a question of Amal Aboulkhouatem from Degroof Petercam. Thanks for the question. Congratulations on these impressive results. Thank you for that, Amal. A few questions on my side. Could you comment on the negative revaluation in Belgium and the Netherlands? I think we did that. What is your outlook for the cost of debt in '26? Dennis answered that. And how do you intend to continue the expansion strategy? Would that be in existing markets or in the new markets? Yes, sorry, Amal. I think we've dealt with your questions, but again, still, thanks for answering -- asking them. And again, a new market is not something we are working on at the moment. It's something for the longer term. Then we have a question from Rahul Kaushal from Green Street. Congrats on the great results and thank you for the presentation. Thank you, Rahul. Can we expect further acquisitions this year? Certainly, we're working on, again, a lot of projects. So you can expect that. Are you looking at markets outside the Benelux? We've answered that. That is at the moment a no. In terms of disposals, can we expect further divestment in the Netherlands? The answer is no, if we talk about entire assets. We only consider this with existing assets and then selling part of the equity in a joint venture. And could you provide a timeline for the disposal of the French assets? Yes, I'd love to, Rahul. At the moment, it's not concrete enough to talk about this. I have mentioned that we see some transactions in the French retail market also in more secondary cities. Hopefully, that will continue and will allow us to sell one or 2 French assets finally this year. I'm going through the list. I don't see any additional questions for the moment. So with that, I'd like to thank you. I'd also like to thank our CFO, Dennis de Vreede, who, as most of you know, is unfortunately leaving Wereldhave as per the AGM of 2026. It's been a great ride, Dennis. Thank you for that. And we all know Dennis did a fantastic job in reestablishing Wereldhave, particularly financially. If you look at the balance sheet, if you look where we stand today, if you look where the share price is, yes, I think Dennis did a great job. And I'm very grateful on behalf of the management team, but basically all the stakeholders for Dennis for this fantastic work. This will be Dennis last webcast, but you will certainly see him in the future, and of course, he will be attending our AGM. So thank you, Dennis, for that. It's been a great ride. And as most of you know, Marcel Eggenkamp will be proposed to the AGM as our new CFO. You'll see him in the coming webcast. Thank you so much...
A. de Vreede: Thank you.
Matthijs Storm: For listening. Thanks for your questions, and see you with the first half results on the roadshow. Thank you.